Operator: Good day and welcome to the Qorvo, Inc. Q1 2017 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Doug DeLieto, Vice President of Investor Relations for Qorvo. Please go ahead.
Douglas DeLieto - Vice President-Investor Relations: Thanks very much, Keith. Hello, everyone, and welcome to Qorvo's first quarter fiscal 2017 earnings conference call. This call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as the risk factors associated with our business in our Annual Report on Form 10-K filed with the SEC, because these risk factors may affect our operations and financial results. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or other items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For a complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today available on our website, qorvo.com, under Investors. In fairness to all listeners, we ask that each participant limit themselves to one question and a follow-up. Sitting with me today are Bob Bruggeworth, President and CEO; Mark Murphy, Chief Financial Officer; Eric Creviston, President of Qorvo's Mobile Products group; and James Klein, President of Qorvo's Infrastructure and Defense Products group. I'm also joined by other members of Qorvo's management team. And with that, I'll hand the call over to Bob.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Thanks, Doug. Good afternoon, everyone, and welcome to Qorvo's fiscal 2017 first quarter earnings call. Revenue for the June quarter increased 4% year-over-year and 15% sequentially to approximately $698 million. Revenue was above our quarterly guidance provided May 4, reflecting strength in Mobile in China, a large customer smartphone ramp and growth in IDP's broad markets. During the quarter, we saw customer demand coming strong than expected well within lead times and we worked hard to keep up with the demand. Our customers called on us and the Qorvo delivered. Gross margin was 48.2%, reflecting low-band PAD business exceeding expectations with higher than expected costs. Also, lesser than impact, but in the mix, early yields on high volume quadplexers for China were below plan. In both examples, these were high volume products. Operating margin was 24% and operating expenses were approximately $169 million. The sequential increase in OpEx reflected higher R&D expense, increased variable compensation expense and the addition of GreenPeak Technologies. The company's higher R&D expense reflects increased investment in the designers of high-performance filters, SAW and BAW process engineers, and associated material costs for prototypes. During the June quarter, we completed our $500 million ASR, retiring an additional 400,000 shares. Qorvo's June financial performance and September guidance provide context for two major initiatives underway: One, leveraging our BAW filter assets; and two, establishing filter independence. We expect these initiatives to support margin expansion early next year, as new customer programs ramp. Qorvo today is number one or number two in the majority of our growth markets, and we are investing to extend our leadership. We're building a technology moat to maintain leadership, where we're number one. And where we're number two, we're investing to advance from a challenger to the leader. How will we do this? First, we will leverage our BAW filters. The vast majority of our customers from newcomers to market leaders are requesting more highly integrated solutions with even greater capabilities, including receive diversity modules with integrated LNAs, RF Flex modules with quadplexers, RF Fusion modules with hexaplexers, Wi-Fi FEMs with BAW filters and multi-chip modules to support massive MIMO. An increasing number of these solutions contain BAW filters and BAW filters rank first among our growth drivers. BAW filters will also deliver the highest incremental margin for Qorvo, and BAW filters are a primary driver of our long-term operating model. To keep pace with customer demand, we're staffing up our engineering teams to complete the up fit of our Richardson fab from 6-inch to 8-inch. We're also bringing up an 8-inch line in a recently acquired fab in Farmers Branch, Texas. Today, our BAW filter utilization is below optimal, but we expect that to reverse as new programs ramp next year. Demand for our first quadplexers has been robust and we continue to enjoy large customer interest in our BAW-based hexaplexer prototypes. More importantly, we have delivered hexaplexer solutions utilizing our recently released next-generation BAW process and customer feedback indicates we are very competitive. For the premium tier, we are integrating BAW-based hexaplexers into RF Fusion, and in the performance tier, we are integrating BAW-based quadplexers. Second, we will achieve filter independence. We believe Qorvo's growth will rely increasingly on filters and filter-based products and we are adding high performance filter designers and SAW and BAW process engineers to in-source all filters to improve our cost, accelerate time to market and deliver higher value solutions. Today, our largest revenue product, which is growing significantly this quarter, contains third-party SAW filters. By comparison, our RF Flex modules next year will integrate high performance and lower cost internally-sourced Qorvo filters for the first time. This will significantly enhance our product margins while creating a new competitive barrier to entry. To ensure we achieve filter independence, we are increasing from 6-inch to 8-inch BAW in Richardson and we're increasing from 4-inch to 6-inch SAW in temp-comp SAW in Florida. In Greensboro, we're converting our 6-inch gas capacity to temp-comp SAW and adding a new power metal process for SAW, which is another Qorvo first. Of note, Qorvo's power metal process for SAW is the final process needed in our toolbox, if you will, clearing the path for us to achieve filter independence. We're also moving our gas capacity from North Carolina to our Oregon fab and transitioning our North Carolina GaN products to Texas. In China, we're bringing up our second packaged assembly and test facility, even as these efforts add to COGS and R&D today. We expect them contributing to revenue and margin expansion related to large customer opportunities slated for 2017 and 2018. Looking at our June quarterly performance by segment, Mobile Products revenue was approximately flat year-over-year and increased 18% sequentially to $547 million. Qorvo helped launch a number of premium and performance tier smartphones and we benefited in China from a strong market and the migration from three-mode to full-mode smartphones for domestic and export markets. We saw strong demand for our recently launched quadplexers, and for our second-generation RF Flex modules, which launched last year. In Wi-Fi, for handsets, we enjoyed 13% growth sequentially, as we ramped our highly integrated RF Fusion, for mobile Wi-Fi. Outside of handsets, Mobile Products grew 30% versus last quarter. Across all of Mobile Products, customer order activity strengthened throughout the June quarter with many orders placed well within lead times. Through the month of July, order activity in Mobile remained very strong. It's clear to us the demand for broadband data continues to increase with the effect amplified for RF suppliers as content per device experience. We believe the expanding market requirements for carrier aggregation and 5G among others will favor our unique competitive strengths and we expect this to support strong longer-term dynamics and improving visibility into our growth drivers. Only Qorvo delivers a comprehensive portfolio of filters, switches, amplifiers, PMICs, LNAs and tuners with the scale, integration capabilities and system level expertise to supply an expanding variety of highly integrated solutions. In IDP, revenue grew 24% year-over-year and 6% sequentially to $151 million. We are very pleased with the performance of IDP, particularly the revenue and margin performance, the addition of a great franchise in GreenPeak Technologies and the achievement of another strong design win quarter. GreenPeak is growing at a rapid clip and we expect this acquisition to be accretive by the end of the year. IDP continues to reposition their product portfolio to support high growth markets, and today, they are highly diversified business in a $3.8 billion serviceable market. IDP currently forecasts the markets they serve will grow at a compound annual rate of 17%, which nearly doubles their market by 2020 to $7 billion. In our infrastructure unit, we continue to see a stabilization in the China base station market and strong customer activity, especially in GaN. We enjoyed robust demand for our 3.5 gigahertz GaN PAs during the quarter and we supplied duplexers, LNAs and PAs for small cell solutions at multiple base station OEM customers. On the design front, our GaN PAs were selected by a major infrastructure provider for a massive MIMO active antenna system. Two global wireless infrastructure manufacturers selected our 28 gigahertz 5G base station GaN PAs and a major infrastructure provider selected our 2.6 gigahertz PA, LNA and switch for pre-5G MIMO deployment. In connectivity, we saw strong momentum in CPE Wi-Fi, particularly 5-gigahertz, and we layered in GreenPeak Technologies during the quarter. GreenPeak is a recognized industry leader in ultra low-power short-range RF communication and they expand our customer offering very nicely to include highly integrated RF systems on a chip for the connected home and Internet of Things. The markets we are targeting are growing faster than 40%. In transport, we began the production ramp of a quad linear 400G optical driver for a Tier 1 telecom equipment provider. We also reached record revenue levels for our CATV hybrid products driven by the industry leaders. Both support the build-out of infrastructure to keep pace with the ever increasing demand for data. In defense, our business is up 30% year-over-year. Most of this growth has been driven by domestic, active electronically scanned array radar programs, and the proliferation of gallium nitride, especially for international markets. In the defense market alone, we anticipate greater than $300 million of potential opportunities for Qorvo's GaN products. So, from a high level, whether you're looking at IDP or Mobile Products, Qorvo is delivering breakthrough RF solutions that accelerate the delivery of broadband data and create value for our customers and our customers' customers. In IDP, we're introducing breakthrough products using highly differentiated internally developed technologies that enable our customers to introduce products at record speed and with higher levels of functionality. In Mobile, we're leveraging the industry's most complete product and technology portfolio with our broad scale, integration capabilities, and system level expertise to offer high-performance RF solutions with unprecedented levels of integration. In summary, Qorvo saw customer order activity accelerate as the June quarter progressed, and the entire Qorvo team ran hard to satisfy that demand. In the September quarter, we continue to see strong demand and support of this year's most popular devices and we're rapidly expanding our capabilities to develop new, highly integrated solutions for large customer opportunities launching in 2017 and 2018. With that, I'll turn the call over to Mark.
Mark J. Murphy - Chief Financial Officer: Thanks, Bob. Qorvo's non-GAAP revenue increased 15% sequentially for the June quarter to $698 million. Mobile Products revenue increased 18% sequentially to $547 million, and Infrastructure and Defense Products increased 6% sequentially to $151 million. Qorvo had three 10% customers, the largest at approximately 29% of revenue representing the aggregated demand of multiple subcontractors for this end customer. Our other 10% customers during the quarter were Huawei and Samsung. Gross margin was 48.2%, impacted by low-band PAD business, exceeding expectations with higher than expected costs. Upon transition to more integrated modules with Qorvo-produced filters and completion of our fab conversions, we expect gross margin to expand. Operating expenses increased to $169 million, on higher R&D expenses to support ongoing development programs in premium filters, higher variable compensation expense, and the addition of our GreenPeak acquisition. In the September quarter, we expect to achieve our OpEx goal of approximately 20% of sales, and we expect to sustain that performance through the December quarter. Operating income for the June quarter was $168 million or 24% of revenue. Net income was $143 million and earnings per share was $1.08. Turning to the balance sheet, total cash and short term investments was $447 million. Cash flow from operations was $59 million, reflecting the working capital build associated with higher first quarter sales and our September quarter outlook. Capital expenditures increased to $130 million, primarily to address growing premium filter demand. During the June quarter, we completed our $500 million ASR, retiring an additional 400,000 shares. $250 million remains available under the $1 billion program authorized last November. We continue to make progress on opportunities to improve our growth and profitability. In the quarter, we acquired GreenPeak, a producer of low-power RF devices, expanded our capabilities to serve IoT markets. Our BAW products are closing in on state-of-the-art performance and we're on a measured pace to add capacity needed to meet expected customer demand for premium filters. As Bob mentioned, a large number of productivity projects are underway including conversion to 8-inch BAW wafers in our Texas fab and 6-inch SAW on our Florida fab. Conversion of our North Carolina fab, to TC-SAW and SAW, consolidation of our gas capacity in Oregon, migration of GaN from North Carolina to Texas, an additional Mobile Products assembling and test capacity in China. We expect these new product capabilities, capacity additions, and productivity initiatives to help us sustain above market growth and drive margin expansion. Now, let's turn to our business outlook. Qorvo currently believes customer demand supports the following non-GAAP expectations for the September quarter. Quarterly revenue between $820 million and $850 million, gross margin of approximately 47%, diluted EPS between $1.35 and $1.45, a tax rate of approximately 10%. Our September quarter guidance reflects strong broad-based demand, we expect gross margins to remain near the second quarter level through the year on low-band product mix and while our fab conversions are underway. We expect OpEx to trend down through the back half of the year. We project CapEx to remain elevated as we align capacity additions with stronger customer demand for premium filters and our integrated modules. With that, we'll open up the call to your questions.
Operator: We'll take our first question from Harsh Kumar with Stephens. Please go ahead.
Harsh V. Kumar - Stephens, Inc.: Yeah. Hey. First of all, let me ask for clarification on the September guide. Should we think that most of your growth is coming again from Mobile, like almost all of it in the September guide?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Harsh, that's correct. Most of the growth we are seeing is in Mobile. There will be some growth in IDP, but I think, most of the growth is coming from Mobile.
Harsh V. Kumar - Stephens, Inc.: Okay. So, you are expecting IDP to grow as well a little bit?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yes.
Harsh V. Kumar - Stephens, Inc.: Okay. Thank you. And then, I wanted to ask about gross margins, we've already started to get questions on that quite a bit. So, I think the "as people say in this business," the high watermark was somewhere around 50%, 51%, Bob. We're at 47% now and you've got a bunch of initiatives going and I think, you mentioned in your script that it will start the reverse and go up next year. Will you be going up from a base of 46%, 47%, where you are at or are you thinking you can possibly start to climb up from the 50%s and then move up from there?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yeah. Harsh, thanks for the question. I just want to clarify, we've got a lot of initiatives and we are working on them. We have a one product if you will problem today. That we've got to reverse and we'll continue to work hard to drive that and it all comes down to how much of that product we sell can influence the gross margin percentage as you can well imagine. So, it's got a lot of content that is not internally in our fabs, we don't see the benefits of it from a contribution margin, so that does play into it. When we have our Analyst Day, we'll outline and quantify a lot of those activities to help you model next year where we can get to on the gross margin.
Operator: And we'll go next to Vivek Arya with Bank of America. Please go ahead.
Vivek Arya - Bank of America Merrill Lynch: Thank you for taking my question. So, Bob, maybe just to follow up on that gross margin. I just want to clarify, the lower gross margins that you are seeing is just because you are outsourcing a certain component, so this is really a near-term company specific issue that can be corrected. This is not the sign of some industry-wide pricing dynamic, right. I just want to get that clarified explicitly.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Sure. Sure, Vivek. So, let me start with, IDP is doing very well. Their margins held in there, no problem there. The majority of Eric's business did very well. You're right, we have one product. I will be candid with you, it's also not yielding fantastic, but for the most part, you're correct, it is a product related, not an industry structure issue. I would agree with your assessment, Vivek.
Vivek Arya - Bank of America Merrill Lynch: Okay, very good. And then, as my follow up, when I look at the September quarter outlook, I sort of fell out of my chair when I saw the upside versus some of the Street expectations. But I'm curious, is there a pull forward of demand just because we are reminded of last year when the industry went through a lot of turbulence. So, you're nearly $120 million above Street expectations. First, how much is GreenPeak out of that, and then do you think there is any pull forward of demand? And the last part of that is how to think about December quarter season now given that you're having such a strong September quarter?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yeah. Number one, GreenPeak's in that $6 million, $7 million a quarter, so that's not driving all the growth. Like we said, most of the growth is coming out of Eric's business. I don't think we're seeing the pull forward. We've talked a lot about that. We still have a lot of demand that we're running hard to keep up with given the guide we even gave. As far as December goes, let me put it another way, Vivek, I think the growth that we're seeing this quarter as well as into December will be how well marquee phones sell. I think our own view is China, we're tempering our outlook for the second half of the calendar year. So, as we look into December, depends on to your question, how much of the demand is pulled in that we might be able to capture because we're all out right now. We ran very hard in the June quarter. We're running pretty hard still staying through this quarter. So as we look at things today, we're not seeing a pull forward and as we look at our customer forecast and our own expectations for in particular China market, we could see December up.
Operator: Thank you. We're going next to Ambrish Srivastava with BMO Capital Markets.
Kulin Patel - BMO Capital Markets (United States): Hi, thanks for taking my question. This is Kulin Patel for Ambrish. My first question is on the increasing R&D spending particularly for filter designers, what drove the increase in OpEx for R&D given that you already have what seems like a mature BAW and SAW product?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Eric, do you want to take what drives filter designer and...
Steven Eric Creviston - President-Mobile Products: Yeah, we have talked many times about that portfolio shifting towards more filter based products and we do continue to see that trend and in fact if anything, accelerating through all tiers of the market now, customers asking us to integrate at a higher level and include more filters and Bob mentioned our drive towards filter independence and making sure that we have the ability to design and manufacture at least the lion's share, if not all of those filters internally, so that includes regular SAW as well as TC-SAW and BAW. And so, we will continue to need more R&D bandwidth to develop the processes, but then also to develop the products and integrate them into our portfolio.
Kulin Patel - BMO Capital Markets (United States): Right. Thanks. And for my follow-up, how much growth do you see for China for your Mobile business in the quarter?
Steven Eric Creviston - President-Mobile Products: In the June quarter, it was pretty strong and in the September quarter, we see it continuing. As of now, the market is quite healthy and we are returning back to our kind of normal share that we should have been at earlier in the year already. So, we're kind of seeing that compound effect probably and then added to the fact that the dollar content overall continues to grow as we see more and more five-mode and six-mode 4G phones being shipped into the market.
Operator: Thank you. We'll go next to Cody Acree with Drexel Hamilton. Please go ahead.
Cody Acree - Drexel Hamilton LLC: Thanks guys for taking my questions and congrats on the progress. Maybe Mark, if you could, give a little bit of stratification on some of those initiatives, the gross margin drivers that you guys have layered initiatives in in the past and been able to make pretty significant and sometimes rapid progress especially when it came to yield. So I guess can you just maybe talk about the timing of some of those major buckets of initiatives?
Mark J. Murphy - Chief Financial Officer: Yeah, I think Cody, look, right now, we'll give more specifics at the November Investor Day, but we see a path to above 50% gross margin with both the trends in the business, specifically a move to more BAW mix in the future and then also all the initiatives underway which you heard about. We're in the early innings in the number of those initiatives. So within the next several quarters, those will be completed and we expect, as you know wafer conversions 4-inch to 6-inch and 6-inch to 8-inch provides a significant benefit on throughput and then we'll be over some of the yield issues that we're having.
Cody Acree - Drexel Hamilton LLC: And maybe the follow-up then on yields. Bob said that those just weren't trending where you had expected. I guess, what's the opportunity to improve those in the current spends and how quickly can those yields improve?
Steven Eric Creviston - President-Mobile Products: Hey, Cody, this is Eric. It's a little tough to answer that. They can improve tremendously. The rate depends upon exactly how we get from here to there. Part of the nature of these products is that they ramp into very high volumes very rapidly, and so sometimes by the time you realize there is a yield issue, you already have an awful lot of product in the pipeline. That's why we are here. So we can improve them over the course of several quarters is probably the best way to answer that.
Operator: Thank you. We'll go next to Mike Burton with Brean Capital. Please go ahead.
Mike A. Burton - Brean Capital LLC: Hey, guys. And thanks for taking my questions. Congrats on a strong top line and bottom line. You've obviously got a growth coming from a bunch of products with Wi-Fi and as well as the multiplexers. But I'm just curious if you could break out for us or give us a sense how big those businesses are now, where do you believe they can grow to, and then the effect on gross margins and operating margins for both of those products. Obviously multiplexers you talked about having some yield issues, but just kind of overall at a steady run rate, what kind of gross margin profile do we expect?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yes. Mike, on the multiplexers, the quadplexers in particular for China, I'd be embarrassed to actually quote the gross margins, and we expect those to be significantly above the corporate average. And Wi-Fi is in family with the corporate average. We do fairly well there in general. And then obviously ones where we build the RF Flex for the Wi-Fi, that does have a better than company average margin.
Mike A. Burton - Brean Capital LLC: Okay. And then also – sorry if I missed this, but you talked about some more R&D spend. Just kind of thoughts of OpEx trending forward during this fiscal year.
Mark J. Murphy - Chief Financial Officer: Yes. What you'll see Mike, you'll see OpEx in the second quarter on a dollar basis about in line with what you saw in the first quarter. But on a percent basis, will be down towards our long-term target, which is 20% of sales. And then you'll see OpEx on a dollar basis begin to drop off through the second half as some spending we know falls off and productivity programs continue.
Operator: And we'll go next to Toshiya Hari with Goldman Sachs. Please go ahead.
Toshiya Hari - Goldman Sachs & Co.: Hey. Good afternoon, and thanks for taking my question. I also wanted to ask about gross margins just to make sure I understand you guys correctly. So in the quarter, what were some of the surprises that drove the miss in gross margins and what's causing the leg down in the September quarter despite the huge ramp in revenue?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: You want to take that or you want me to?
Steven Eric Creviston - President-Mobile Products: Well, again, it's primarily a single product problem and it's a low-band PAD problem where we have significant outsourced filter content. And that was a large volume product in the first quarter and it actually becomes larger in the second quarter as another low-band PAD family product comes on. So that's the effect you're seeing in first quarter and second quarter.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: So, Toshiya, we expected better costs as well as our yields didn't hit where we expected to be at this point in time.
Toshiya Hari - Goldman Sachs & Co.: Okay, great. And as my follow-up, I wanted to ask about BAW. You talked in your prepared remarks about utilization rates in your BAW business being suboptimal today. Could you maybe provide a bit more granularity here and also comment on when you expect utilization rates to be at or above optimal levels in BAW? Thank you.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Sure. Thanks, Toshiya. What I said was we were not at optimal levels today and we've added capacity and we're continuing to add capacity as we expand from 6-inch to 8-inch and adding 8-inch in the Farmers Branch and quite honestly it's going to be the timing of new marquee phones that we're launching in, in calendar year 2017.
Mark J. Murphy - Chief Financial Officer: And I'll just add that we're going to pace that investment as we get clarity on customer demand. We feel very good about the customer demand and the quality of our product. So we're comfortable making early commitments, but the actual construction spend pace will be determined by our clarity on wins.
Operator: And we'll take our next question from Craig Hettenbach with Morgan Stanley. Please go ahead.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: Yes, thank you. Just a question on the yield issue and as it relates to gross margin. You talked about gross margin staying here through the year. Do you have line of sight as to just the cost issue part of this, or any other color you can have in terms of how you maybe deem conservative or not as to kind of the recovery from this?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yes. Again, it's a little hard to tell the rate and pace of recovery. There are certain things that could move the needle actually relatively quickly. We're planning on it being a longer haul, as I said a couple quarters, to fix the issue, again, primarily because there's a lot of volume in the line early part of the ramp. So I think we're now well in, in terms of the number of parts produced. We understand the yield issue quite well. And so I don't think there is a lot of uncertainty from this point forward other than how rapidly we can implement the changes and get it through the pipeline.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: Got it. And then as my follow-up, in terms of capital allocation, you did GreenPeak, which is kind of tuck-in; you've been fairly aggressive buying back stock. So big picture, how you view best use of cash here in terms of your own stock versus attempts to diversify the business?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Mark, you want to take that?
Mark J. Murphy - Chief Financial Officer: Yes, it's a good question. I guess I'll start with buyback. We've repurchased $1.3 billion of shares in the last five quarters, and we have $250 million remaining on our $1 billion authorization. I'll add that we currently expect to continue buying our shares under that authorization. We're interested obviously in a thoughtful capital allocation framework. That will consider organic growth opportunities, including CapEx needs which we just talked about on BAW. Those are very high-return projects, relatively low risk from a project execution standpoint. So those would be early priority on spend. We're always looking at acquisition opportunities that would fit well with Qorvo, but I'll add that we're not capacity constrained from a balance sheet standpoint to doing those, but there's a very high bar on return requirements for allocation of capital to those opportunities. And then we plan to be regular steady buyers of our shares as part of this thoughtful capital allocation framework and that's what we've done.
Operator: Our next question is from Ed Snyder with Charter Equity Research. Please go ahead.
Edward F. Snyder - Charter Equity Research, Inc.: Thanks a lot. Eric, you said you were surprised by that gross margin on the low-band PAD coming in here and the several comments that intimated both there was a cost and a yield issue. Yield I get I suppose because you can always get surprised, but can you explain what happened on cost? It was at the SAW filters? Did they raise prices to you? Was it not BAW pricing? What changed from the time that you did the prototype and you bid the part and won the part to the time you started producing the part that smacked margins as hard as they were? And then, as a follow-up, you've got a gazillion programs going on here. You're moving to 8-inch in BAW in Richardson. Are you starting an 8-inch in Farmers Branch? Are you ramping an 8-inch? Meaning, is it already up and running moving to 8-inch? You have 6-inch in TC in Florida. You're launching, I'm assuming, a 6-inch TC and a SAW in North Carolina, moving GaN to Texas, moving GaAs to Oregon and a new PAD facility in China. Maybe you could take a few minutes to just walk through what the impact of some or all of these are on the margin issues, maybe none, maybe some, and whether it's utilization whatever, because as I'm sure most of the other guys on this call were getting flooded with gross margin questions even before the call started. So any help would be appreciated.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: All right, I'll take the easiest one. We're starting out in Farmers Branch on 8-inch. So we will start with what we believe will be our lowest cost there, and again, we'll qualify the line in 2017 and be ready for production in 2018. As far as what's going on in the packaging assembly and test facility, again that's one of the largest premerger synergies that we talked about is because a lot of the legacy work is outside assembly houses, and in fact given the volume we're running right now, we have a lot of work on the outside and that's why they're bringing up. And we had our grand opening in Dezhou just a few weeks ago, and as we in-source that, that is a significant cost savings for us. As far as, yes, in Greensboro, we're starting in 6-inch with standard SAW and temp-comp SAW and it's a significant margin improvement over what we're paying outside, I'll say it that way. But it will take time to get those into the market and designed into current product. So, again, much more of a 2017 story than a 2016 story. And as far as, you know the diameters and you can do the math on what the savings is from 6-inch to 8-inch and we'll give you a lot more color on the timing of that at the Analyst Day. But, again, most of these things really take hold in 2017. I know you had a question for Eric as well.
Steven Eric Creviston - President-Mobile Products: Yes. We probably can't say much about the outsourced content to your question other than to say that it's a source that's clearly not a long-term viable candidate. There's not much flexibility in the near-term in terms of pricing and what we can do with that supplier. Internally, though, the yields are related to some specifications at the end product level, but also to your point, this is the first volume to ramp very hard in the new 6-inch TC line, and we're definitely working out a lot of issues in there as well that's contributing certainly to the issue.
Operator: Thank you. We'll go next to Steve Smigie with Raymond James.
J. Steven Smigie - Raymond James & Associates, Inc.: Great. Thanks a lot. Guys, I was wondering if you could comment on what you think your total dollar content gains were for premium phones say this year versus last year – and I know there are tons of SKUs and stuff, but a rough assessment for the flagship phones?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: What I do feel confident in is we grew our dollar content. Clearly at one of our customers you guys know we grew significantly more dollar content as they released phones throughout the year. If I look at our top three customers, we've expanded our dollar contents. And to your point, it really gets down to mix on SKUs, but I think in aggregate, we've definitely increased our share as well as our dollar content.
J. Steven Smigie - Raymond James & Associates, Inc.: Okay, great. And I just wanted to follow-up on Vivek's question a little bit around seasonality. So you talked about growing in December. Does that growth suggest anything about how it might look into March? Typically you have a pretty steep dip. And so I'm just wondering if this is being pull forward somewhat, does that suggest a more shallow March or would that trend more normally?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: So, to be clear, I don't believe I acknowledged there's any pull forward. I said if there was, then it could impact December. But right now we don't view it as demand being pulled forward. I think if you look at what happened last year, and I think it's pretty widely known that some of the marquee phones didn't quite sell as well into the December quarter, which impacted December and slightly in the March. So I think it all does come down to if you're asking what December and March are going to look like. As we said, China, we seem to be getting back to our normal share levels there, so that's where the strength in the China market that we see. We see it continues to migrate from 3-mode, to 5-mode and 4-mode. So that's dollar content. We think that China market is doing well, but we have a conservative view in my comments for December. And to your point, typically, March is down seasonally, and I don't think that's going to change from any other year.
Operator: Thank you. We'll go next to Chris Caso with CLA (sic) [CLSA] (38:48).
Christopher Caso - CLSA Americas LLC: Thank you. Just a follow-up question with regard to China and the comments, and I think you've talked about tempering your expectations, yet the revenue growth is strong. So if maybe you could clarify more specifically what your expectations would be for China as you go into the September quarter, how much of that is dialed into your growth expectations, and then perhaps into the December quarter as well?
Steven Eric Creviston - President-Mobile Products: So we do have growth in China dialed in that's based on actually very strong backlog at this time in order activity and visibility into the dollar content expansions that our customers are asking for these phones. However, the majority of the growth is not driven by China this quarter. It's driven by other large customers in marquee phone ramps.
Christopher Caso - CLSA Americas LLC: Okay, great. And as a follow-up, we've heard I guess different commentary from different folks with regard to inventory levels at customers now as you're going into the seasonally stronger period of the year. I guess two questions on that. One is, although you took a hit from some inventory reductions back starting in last December quarter, do you think those still persisted in the June quarter, such that you're shipping below customer consumption? And at this point as we go into the September quarter, do you think those inventory reductions are now complete?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yeah. I'd rather just make this comment at a very high level. Typically, we ship into our customers well before they start selling because they build up their inventory to go. So typically in June, we would typically be under shipping what they're selling. So, what I can say is specifically about our business, we saw what was coming, we took actions in December, a little bit in March, but we were pretty much clean starting in June.
Mark J. Murphy - Chief Financial Officer: Yeah. And Chris, I'll add that, our turns did increase about 10% and then our inventory levels did go up about $30 million, but that was, as you can see now, to prepare for the September and follow-on quarter.
Operator: And our next question comes from Timothy Arcuri with Cowen & Co.
Wayne Loeb - Cowen & Co. LLC: Hello. This is Wayne Loeb for Tim. It appears that some major smartphone markers are now second sourcing their modems. Can you comment on your relative RF share, when attached to an Intel versus Qualcomm high ended modem?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Sorry, we are not going to be able to comment.
Wayne Loeb - Cowen & Co. LLC: Okay. I will try one more thing then. On envelope trackers, are you seeing some traction there. It seems like some other non-Qualcomm modems do not yet have an envelope tracker, are you seeing some traction or any attachment to that?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: I think Eric would love to talk about ET PMICs.
Steven Eric Creviston - President-Mobile Products: Yeah. We've been in production for several generations now. We do continue to see increased traction, really across all tiers in the market and with several baseband manufacturers.
Operator: Thank you. We'll go next to Atif Malik with Citigroup.
Atif Malik - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking my question. I have a question on gross margins, as well your peer Skyworks guided flat margins on revenue growth in September, you guys are guiding down gross margins. I understand there's no structural change in the pricing environment. But can you comment on maybe parts of the market like low-band PADs, which are more commoditized. And if you can also help me understand why you would be chasing low-band PADs if you have been stronger in the mid-band and high-band historically?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Go ahead, Eric.
Steven Eric Creviston - President-Mobile Products: Yeah, sure. I want to say quite clearly that this is not a pricing issue. I also actually take issue in saying low-band PAD is a commoditized business. I don't think that's the case at all, especially these high performance low-band PADs with temperature-compensated SAW filters in them. These are very high performance products, very few people can manufacture them. It's not commoditized and there's not a pricing issue going on here at all. Because they're incredibly hard to manufacture, we're having some yield, ramping a new one and associated with again our new wafer line in it. So, why we're in the low-band PAD business? It's actually a premium product category and we see a lot of customers now asking us and giving us the opportunity to do the entire RF frontend. You need to have low-band, mid-band and high-band, all the switching and power management so forth to be able to do that. So it's an important part of the portfolio, it's going to be a very powerful part of the portfolio as well going forward.
Atif Malik - Citigroup Global Markets, Inc. (Broker): Great. And as a follow up, Mark, can you talk about the full fiscal 2017 CapEx expectations for the year?
Mark J. Murphy - Chief Financial Officer: Yeah. We're going to be about, if I recall, about 15% of sales for the year, if we maintain our pace of spend. Just to be clear, I mentioned that if we don't have the clarity, we'll certainly slow down the spend. So, I'd say I don't expect it to be any worse than about 15%.
Operator: Thank you. Our next question comes from Quinn Bolton with Needham & Co.
Quinn Bolton - Needham & Co. LLC: Thank you. I just wanted to follow up on that BAW capacity question. You mentioned a couple of times on the call that you're not at optimal levels. I'm just wondering, are you referring to the fact you're underutilized currently or you guys are running full out and you need to add capacity in the near-term to meet demand? And then I've got a follow-up question.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Quinn, we are not running at capacity or nowhere close to that. So I would tell you, we're under loaded than from optimum.
Quinn Bolton - Needham & Co. LLC: Got it. Okay, great. And then, just coming back to the gross margin, obviously, you talked a lot about the low-band PAD. I was wondering if you could make any comments about sort of the China product gross margin especially as you ramp the quadplexers, hexaplexers, is the mobile product going into China carrying sort of corporate or at least mobile product average gross margins? Is there anything you can distinguish in terms of gross margin contribution from China versus some of the premium customers?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: So there's really not a large difference. There's a wide – not a wide range – but there's a range of gross margins for the different product types that sell into China. In general, the portfolio, especially the newer products are basically in line with the average mobile portfolio margins.
Operator: Thank you. Our next question comes from Ian Ing with MKM Partners.
Ian L. Ing - MKM Partners LLC: Yes. Thank you. Just wondering here on the revenue guidance has a range of $30 million versus in the past you gave us specific targets. What's some of the sensitivity there? What percent booked are you to get to the midpoint?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: We have a great new CFO, who thought that maybe we ought to be able to provide you guys with more of a range, because of his experience and looking at our past performance that it's probably more prudent to do that. And I think you also noticed one of our competitors also gave a range, who typically gave a point. So, we just thought it would be good to give you the clarity there in the range. And as far as booked for the quarter between our backlog, customer forecast, things like that, we're in good shape.
Ian L. Ing - MKM Partners LLC: Good shape. Okay. Great. And then just a clarification on gross margins, low-band PADs impacted by the sourcing of filters. Sounds like you've got multiple products, multiple models. I mean, can seasonality in the coming quarters ever cause a more favorable mix shift later this fiscal year or are we really waiting for the fiscal 2018 manufacturing efficiencies and filters that come online?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: This part, as you said seasonality or sell-through of the end customers' products can definitely impact our percentage of gross margin, absolutely.
Operator: Our next question is from Blayne Curtis with Barclays. Please go ahead.
Blayne Curtis - Barclays Capital, Inc.: Hey, guys. Thanks for taking my question. Sorry for another gross margin one. Just wanted to clarify. So the gross margin was weaker in June, and then in September it's down a little bit more. It sounds like two issues, you have an issue on multiplexers, and then you had this low-band PAD. I was just trying to understand what the impact was in both quarters? Did you quantify it? And then just understand what's the bigger driver between those two?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yeah, Blayne, the quadplexers had a larger impact in the June quarter than the low-band PAD and the low-band PAD has a bigger impact, much bigger impact this quarter, and the quadplexers we've taken some actions and made some progress.
Blayne Curtis - Barclays Capital, Inc.: Got you. And then just a follow-up in terms of the yield issues, has that impacted any delivery dates or what's your lead times? And then, in terms of fixing these issues, do these require redesigns of any of these parts which then need to be re-qualified on phones or is it something you can you do on the fly in a given model?
Steven Eric Creviston - President-Mobile Products: Pretty detailed question. Yeah, so I would say, yield issues of course, we're working through those and assuring a continuation of the supply. Organization is working really, really hard to do that. In terms of redesign, not expected at all, potentially test program changes and so forth that, of course, we coordinate with our customers. But these are things that can happen relatively quickly.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Right. And holding up any phone shipments?
Steven Eric Creviston - President-Mobile Products: Right. No.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: None.
Operator: Thank you. Our next question is from Vijay Rakesh with Mizuho. Please go ahead.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Yeah, hi, guys. Good guide here. Just going back on the gross margin question again. As you guys (48:59) for the fiscal 2017 I guess, but as you look at pulling the filters in- house, I know one of your peers is sitting on a lot filter inventory and then obviously the Japanese OEMs all have a lot of filter exposure, filter supply there. Does that create more filter pricing pressure? What's your thoughts there?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: I'm not sure I fully understood the question on...
Vijay R. Rakesh - Mizuho Securities USA, Inc.: I'm just wondering, as you pull your filters in-house, and there is obviously more excess filters in the supply chain, does that increase pricing pressure on the filter side?
Steven Eric Creviston - President-Mobile Products: Yeah. I'm sorry, I guess, we're having a hard time following why pulling the filter products inside would create excess inventory of filters and create pricing pressure. It would go the opposite way I think in...
Robert A. Bruggeworth - President, Chief Executive Officer & Director: ...in discrete.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Yeah, yeah.
Steven Eric Creviston - President-Mobile Products: Yeah. Discrete filters are becoming a very small part of the market. The trend is that the filters are being integrated into higher level functionality such as our fusion modules and so forth.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: And then when they're integrated, just to be clear, they're wafer level packaged opposed to packaged in a ceramic package, which is the way a discrete filter's sold.
Vijay R. Rakesh - Mizuho Securities USA, Inc.: Got it. And you talked about 6-inch and 8-inch transition here, what do you expect your mix of 6-inch and 8-inch by the end of calendar 2016, if you can give us some idea there? Thanks.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Yeah. As far as 8-inch BAW filters go, it's going to be a very low percentage, that's what we're converting to this year and again, as I've said, bringing up in Farmers Branch. And in SAW filters, as we continue to expand in Florida as well as bringing up the North Carolina facility, that mix will start to move to 6-inch a much larger percentage. Don't have the percentage off the top of my head again, we'll give you that at Analyst Day, but it will be a larger percentage 6-inch.
Operator: Thank you. We have a follow up from Harsh Kumar. Please go ahead.
Harsh V. Kumar - Stephens, Inc.: Yeah. Hey, guys. Thanks for the follow-up. I promise no gross margin question here. I was curious, Mark, if you ever gave China as a percentage of sales for either June or what your expectation is for September?
Mark J. Murphy - Chief Financial Officer: I don't think we did provide that.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: Hold on a second, Harsh. Give us a minute we'll go through it. Hold on.
Harsh V. Kumar - Stephens, Inc.: Okay. Then let me ask something else while you guys are looking at it. Mark and then, I think you mentioned that OpEx will fall as the back half approaches, can I ask you to clarify if it will fall as a percentage of sales or will it fall in absolute dollars from here?
Mark J. Murphy - Chief Financial Officer: Yeah, what I said Harsh was that it'll be about flat on a dollar basis in the second quarter, the September quarter and will drop as a percent of sales basis to about 20%. In the subsequent quarters, we expect it to drop on a dollar basis.
Harsh V. Kumar - Stephens, Inc.: So, next year it could drop on a dollar basis. Got it. Thanks. And then whenever you guys...
Mark J. Murphy - Chief Financial Officer: Just to be clear, drop in the second half of this fiscal year on a dollar basis.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: And Harsh, excluding Huawei who is a corporate 2% customer, as you know the China business is about a third of the mobile business in the June quarter and a bit less than the third in the September quarter.
Harsh V. Kumar - Stephens, Inc.: Thanks, guys.
Operator: And we'll also take a follow-up from Ed Snyder. Please go ahead.
Edward F. Snyder - Charter Equity Research, Inc.: Thanks. You mentioned GaAs moving to Oregon, Bob are you consolidating all GaAs fab in Oregon or will you still be split between Oregon and North Carolina? And then TriQuint started TC-SAW, it was the first one to actually produce that filters years ago and I know that one of your competitors kind of leapfrogged you in modules to your largest customer and so they are large in TC-SAW. But I'm a little surprised you guys are having yield problems with TC-SAW. Is it a new process, a new part, given your legacy and how long you've been in this technology? What's changed there that made this more difficult part, just the filtered stuff, forget the module? Thanks.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: So, Ed, we are transitioning over time our Greensboro gallium arsenide as well as GaN and they will be focused on filters. And as far as the temp-comp SAW...
Steven Eric Creviston - President-Mobile Products: Yeah. I think you hit on it earlier, we're doing a lot right now including adding factories in Florida and Greensboro and also going from 4-inch to 6-inch and managing issues of wafer breakage as well as parameter distributions, and as you really run more and more and more wafers to the new 6-inch line, you begin to see the full distribution. Also, I think the requirements at the end module are tougher, generation, regeneration, the requirements are getting harder. So dialing in these specifications at a very fine level is the issue.
Edward F. Snyder - Charter Equity Research, Inc.: And I know you mentioned it, Bob, but to buy parts from the outside market like you're doing now because everybody outsources SAW at this point, even your competitors, you're buying a packaged part from them, which is large and more expensive, et cetera. When you go internally, it will be a wafer scale packaging, shouldn't we expect, and I don't know what the mix is, but I'm expecting you're using quite a bit of that product in some of your modules, low-band PAD, maybe diversity module. Shouldn't we expect to see a significant improvement in gross margin given the fact that one, you're producing and two, it's going to be smaller, more efficient part than what you could buy on the outside market already? And just if you could, maybe give us some idea of the timing of when you think you'll be independent in SAW?
Robert A. Bruggeworth - President, Chief Executive Officer & Director: So maybe big picture Ed, certainly you're on the right track. We absolutely expect that when we can in-source these filter ourselves in our new larger factories that are well utilized, we will definitely see improvements in gross margin. And this is a multi-generational thing, this cannot happen overnight to completely eliminate outsourcing of the filters. We're starting on it, we're adding new capacity, adding the filter designers to be able to do it, it will take two or three product cycles to get there.
Operator: And ladies and gentlemen, this will conclude our Q&A portion of the call. I will turn it to management for closing remarks.
Robert A. Bruggeworth - President, Chief Executive Officer & Director: As always, we thank you for joining us tonight. Qorvo is a leading participant in large, healthy markets with unique competitive strength and improving visibility and to macro trends and large customer programs driving our growth. We anticipate strong demand in support of today's most popular devices and we're expanding our capabilities to develop new highly integrated solutions for large customer opportunities launching in 2017 and 2018. Thank you.
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect, and have a great day.